Operator: Greetings, and welcome to the General Mills Fourth Quarter Fiscal 2022 Earnings Q&A Webcast. During the presentation, all participants will be in a listen-only mode. Afterwards, we will conduct a question-and-answer session. [Operator Instructions] As a reminder, this conference is being recorded Wednesday, June 29, 2022. I would now like to turn the conference over to Jeff Siemon, VP of Investor Relations. Please go ahead.
Jeff Siemon: Thank you, Kelly, and good morning to everyone. We appreciate you joining us today for a Q&A session on our fourth quarter and full year fiscal '22 results. I hope everyone had a time to review our press release, listen to our prepared remarks, and view our presentation materials, which were made available this morning on our Investor Relations website. Please note that in our Q&A session, we will make forward-looking statements that are based on management's current views and assumptions. Please refer to this morning's press release for factors that could impact forward-looking statements, and for reconciliations of non-GAAP information, which may be discussed on today's call. I'm here with Jeff Harmening, our Chairman and CEO; Kofi Bruce, our CFO; and Jon Nudi, Group President of our North America Retail segment. Let's go ahead and get right to the first question. So Kelly, can you please get us started?
Operator: [Operator Instructions] Our first question comes from Andrew Lazar with Barclays.
Andrew Lazar: I think you've talked about over the course of this year how the combination of HMM and pricing and other levers have actually been pretty effective. It's sort of protecting a lot of the -- at least the dollar cost of actual sort of inflation, but that supply chain costs and some other things, of course, have weighed on margins and profitability as well, like it has for the Group as a whole. I guess as you look forward to '23, I think you mentioned that you anticipate another sort of call it low double-digit benefit from pricing, that's you've taken already or is already in place. But of course, you still see another very significant 14% jump in inflation, and slowly but surely, hopefully will continue to improve on the supply chain side. So I guess the question is, do you think that the combination of the pricing and the HMM, and the other levers that you've got would be enough in fiscal '23 to sort of better protect dollar profits, even including some of the supply chain issues and other things as opposed to just cost inflation? And then I just got a quick follow-up. Thank you.
Jeff Harmening: Kofi, do you want to take that one?
Kofi Bruce: Absolutely. Thank you, Andrew. So as we think about our approach to the next fiscal year, we're thinking about it much the same way. We're expecting only a modest decline in the level of supply chain disruption. We expect, as you mentioned, our price realization, and the combination of HMM to largely offset the dollar cost of the 14% inflation that we've called. And our expectation is that the remainder costs from disruption, we would work out over time to the extent that we see the environment stabilize. So the only big question remains, when that happens, we’re -- I think we're expecting another year of uncertainty candidly similar to the table that was set this year.
Andrew Lazar: And then, obviously, it's still very dynamic and I know there have been plenty of discussions and a lot of debate, of course, around pricing and cost and everything else. But as you build your plans going into '23, and then discuss them with your key retail customers and things, I guess, are there things that have changed a little bit around going into your plans for fiscal '23 in terms of your retailer conversations versus let's say, a year ago, meaning things around innovation or marketing plans, merchandising plans? I mean, are you seeing customers start to think a little bit differently about those things as opposed to simply the pricing and inflation dynamic or right, being naive, and we're just not there yet? Thank you.
Jeff Harmening: Jon, you want to take that question?
Jon Nudi: Yes, absolutely. So it's certainly a dynamic environment, there's no doubt about that. And certainly inflation and supply are two big topics that we spend a lot of time with retailers on. But I would say, Andrew, that things are pivoting back a bit more to growth from a marketing standpoint, from an innovation standpoint, we're having those conversations as well. And also, how do we provide value to consumers at a time that they need as well. So we're talking about many things that we're -- honestly, a year ago, it was really about supply that we were thinking then. So I think things are getting back to some of the conversations we've had in the past and it's all about how do we profitably grow our businesses together.
Operator: Our next question comes from Bryan Spillane with Bank of America.
Bryan Spillane: I guess my question -- and maybe this is for you, Kofi. If we look at the guidance, the organic guidance, right, so the revenue range is 4% to 5%. And if you add back the impact of the -- the net impact of the divestitures and acquisitions, the operating income ranges is 1% to 4%. So, can you just kind of help us kind of think through what are the drivers that would cause you to be at the low end of that range, the OI range or the higher end of that OI range, again, assuming that 4% to 5% organic sales growth is the right number? Is it a reflection of commodity volatility? Or just like, what are some of the pieces there that kind of describe or inform that that wider range in OI?
Kofi Bruce: Appreciate the questions. And think back to my earlier comments about sort of the backdrop for the operating environment. It still remains volatile with a high degree of uncertainty. I think we're expecting as a backdrop that the supply chain disruptions to the extent they are foreseeable will, in the near-term, not abate that much. So that is a factor that even as we worked through this past year, was a headwind to margins and even as we moved from quarter-to-quarter, provided some volatility to our expectations. So the guidance range primarily reflects that. And then obviously inflation is, our best call based on the information we have in front of us is 14%. But I would note that our expectations moved up, even as we worked through the early part of this last fiscal year we just closed. So those are the two primary sources of volatility driving our expectations on the range.
Jeff Harmening: I would just add one additional piece on the inflation is, we are about 55% covered on our ingredients and packaging material requirements. As we start the year, that's a bit higher than average. But that still leaves obviously some lack of coverage, especially in the back half of the year, so [Indiscernible] point about the uncertainty.
Bryan Spillane: And anything in terms of I guess you might -- you must know more about the first half of the year than the second half of the year, just anything we should think about that in terms of phasing, just in terms of the inflationary pressures is a little bit more front or back half loaded?
Kofi Bruce: So I think, that's a great question and one worth just a little bit of comment. So as you think about the year. I would say, we'd expect that the first half profit growth to be slightly weighted and favorable to the second half. A lot of that, obviously, is in part of the weight of the comparison on this Q4 that we just closed. But as you think about inflation, which you also referenced, we would expect that to be highest in Q1 and then decelerate as you work sequentially through the comps over the course of the year. And price mix, we'll expect a partial impact in Q1 from recent actions, and a full impact kind of in Q2. And then the other factor that I’d just call out that's worth mentioning is the impact of divestitures, the ones that we've announced and the ones that we've closed, will be a bit higher in the first half before we begin the lap the yogurt and dough divestitures which happened in the second half of this recent fiscal year.
Operator: Our next question comes from Robert Moskow with Credit Suisse.
Robert Moskow: I just have a couple of questions. Kofi, I think in the middle of the year, you actually quantified the cost of supply chain disruptions. And I don't know if you've quantified it since. Do you have a number for us? And when you talk about your pricing and HMM actions offsetting cost inflation, does it also offset that disruption estimate or is that a separate number? And then I have a quick follow-up.
Kofi Bruce: Yes. So we did provide a number, it's -- I think, is in the range of 200, previously 250, is about where we halved the mark here at the end of the year. And then think back to my earlier comments, as we look at the full year, our adjusted gross margins are down. And if you kind of deconstruct that the elements would drive you to inflation being about 500 basis points, roughly drag, offset, almost completely by price mix and HMM. And that leaves the cost of the operating environment, the disruptions to deleverage other intermodal transports, all the things that we're doing to accommodate supply in this environment as the driver of the margin decline.
Robert Moskow: Okay. And I might just not be competent in finding things, but I'm having trouble finding the price mix for North America retail in fourth quarter. I think I'm backing into something like 16% pricing. So…
Kofi Bruce: You are close.
Robert Moskow: Okay. So if your cost inflation is…
Kofi Bruce: 15.5 is the number, our organic price mix.
Robert Moskow: And I guess here's the question. If your cost inflation for the year is only 14%, but you're running pricing at 16%, isn't that a net positive?
Kofi Bruce: Are you talking this fiscal year or next fiscal year?
Robert Moskow: Fiscal '23. So for fiscal '23, I think you're guiding to 14% inflation, but your pricing in your biggest segment of the market is up mid-teens. So I guess it seems like the pricing benefit is -- from a dollar standpoint is a net positive compared to your price inflation on a -- cost inflation on a dollar standpoint.
Kofi Bruce: Rob, I think you've got -- you have to remember that we'll be starting to roll over some pricing as we come into fiscal '22 and certainly much more so as we get into the back half of the year as we have significant pricing come through in the back half of -- sorry, of fiscal '22, we'll be rolling over that in fiscal '23. My apologies. And then the other piece that would be included in that would be the offset from volume and deleverage that comes through. We mentioned that we are expecting elasticities to be below historical levels, but to increase somewhat as we go through '23.
Robert Moskow: Okay, that makes sense. And should I think about like for first quarter pricing, is it -- you're lapping only a 4% price mix for North America. You're taking more action. So are those two things kind of offsetting each other do you think? Like you will still be mid-teens in first quarter?
Kofi Bruce: Yes, roughly. I think that's a fair assumption.
Operator: Our next question comes from Michael Lavery with Piper Sandler.
Michael Lavery: Just looking at the SNAP benefits that Federal COVID Emergency Authorization is now set to run at least into October and that of course supports the state emergency elevated levels of SNAP benefits that have been pretty significant, contemplate your top line guidance. What assumptions do you make around how that might unfold?
Jeff Harmening: I would start and I'll have Jon Nudi follow-up on this but I -- Michael, I would start with the -- our assumptions include people starting to eat from away from home more to a little bit at-home eating. And so I think as consumers become more concerned about their economic reality, the first thing they tend to do is eat more at home and less away from home. And we've seen restaurant traffic year-over-year in the last couple of months has gone down a little bit. And eating at home has gone up. And so as we think about our assumptions for the year -- and we saw this in the last recession, The Great Recession, we saw that consumption away from home eating was down and replaced by at-home eating, we're seeing the same kind of behavior starting now. So that's actually the first place I’d start. And then -- and that's because consumers want to eat out more, but the cost of eating away from home is more than double the cost of eating at home. And then of course, there's value seeking behaviors once they get in the store. But consumers try to change their habits as little as possible, and still be able to get what they want. And so that's how we frame. I mean, it's a not answer to the SNAP question. But before we go deep down that hole, I just wanted to start with kind of an overarching comment. And Jon or Kofi, do you want to take over a little bit on the SNAP question?
Jon Nudi: Yes, so thanks, Jeff, and I think you hit it exactly right. So SNAP is obviously one of the elements that will drive top-line. And while SNAP is down versus pandemic highs, it's still above pre-pandemic period. So we continue to monitor SNAP and it plays into things. But as Jeff mentioned, some bigger factors in play, as well, including the shift to more at-home eating, and then even what's playing on their categories. We've obviously watched very closely as well in terms of how branded players are performing, how private label is performing. And if you look back through history, during economic downturns, we tend to perform pretty well to see our categories increase by 1 point or 2 point in terms of volume performance. We've actually held our own from a share standpoint during those periods. We've seen the second and third tier brands lose share to private label. So it's a dynamic time. We're very close to our business and watching all the factors, SNAP is just one of those.
Michael Lavery: And just to follow-up, I know you've called out the elasticities you expect to start at least getting closer to normal levels, and factoring in some of that volume piece. On the pricing side, just especially with what the consumer is facing and some of the pushback maybe even from retailers, are you starting to feel like you're hitting a price ceiling in any categories? Or is it really still more of the same like it's been in this recent environment?
Jeff Harmening: I would say until this point we haven't really seen any change in elasticities. And I think the reason for that -- there's a couple reasons for that. One is that consumers are switched to more at-home eating because it's more expensive. So the reason I started talking about, I would say would be a big contributor to elasticities not having changed much even over the last month and what they were two or three or four months ago. And the consumer is actually still in -- they're still in a decent place. They're getting nervous. But when it comes to savings rates or the employment rate and consumers are still spending quite a bit of money. Now as they look ahead, they get nervous because they see inflation and so forth. But right now the consumer is in a decent place and any -- we haven't really seen any elasticity change. I think that's because of the shift from away from home to at-home eating.
Operator: Next question comes from Cody Ross with UBS.
Cody Ross : I just want to dig a little into pet here, because the pet margin continues to slide further driven by inflation and supply chain disruptions that you called out. Did this catch you by surprise during the quarter? And when do you anticipate the rate of margin declines to moderate? And then I have a follow-up.
Kofi Bruce: Yes, absolutely. Sorry. I just presumptively jumped in there. So thanks for the question. I just want to kind of set the frame by just acknowledging I think the pet business for us is still seeing a really strong demand, right? And we've grown the pet business double digits on both the top and the bottom line in the four years post acquisition. So this is more a function as we look at the margins, specifically around 2 things roughly in equal measure. The first, the impact of the acquisition that we completed early this year, this past fiscal year of the pet treats business, which is -- has largely driven by some onetime costs and some modest margin dilution that comes with that business. And then second, the cost to serve, which were acutely higher in the quarter on the pet business. We've sought to service that business at levels to meet demand. We candidly were not able to produce to the demand we saw in the quarter and have had challenges and headwinds as we worked through the year. We're taking significant actions to your question on kind of what we're doing about it to debottleneck and continuing to add external supply capacity. In addition, we've put $150 million of capital spending, additional capital spending behind our dry dog food business, which is where we're seeing the most acute challenge on service to get additional capacity online in -- starting in '24. So we would expect this -- the margin pressure to modestly improve as we take the near-term actions and then the real unlock to come as we get additional capacity both external and internal online.
Cody Ross : And I just want to follow up a little bit about gross margin and some of the stranded costs you expect. So if you combine the low double-digit price mix with the HMM savings, it looks like you should fully cover the inflation you're going to endure next year. You'll also be lapping the supply chain challenges in the second half next year. Is it fair to say right now that gross margin could actually increase next year? And if not, is that because of stranded costs? And if so, can you just kind of give us any color as how much stranded cost you expect?
Jeff Harmening: Cody, this is Jeff. I think you've got the right drivers. You're right that HMM plus our SRM pricing actions are intended to offset the inflation component. We did talk about a modest decline in disruptions. We will have an impact from divestitures and obviously, particularly the Helper and Suddenly Salad divestiture. That's clearly a higher-margin business as we disclosed in the announcement on the deal. And so the divestiture of that business will have a negative mix impact on margin for the year.
Operator: Our next question comes from Pamela Kaufman with Morgan Stanley.
Pamela Kaufman : In the prepared remarks, you highlighted that portfolio reshaping is going to be an ongoing aspect of the company's strategy. One of your key competitors is pursuing a more surgical approach to portfolio reshaping. What are your views on pursuing a similar strategy? And have you considered splitting up the company across higher and slower growth segments?
Jeff Harmening: Yes. Thanks for that question. You know what I love is that our strategy is working, and it has been working, regardless of what competitors are doing. Our strategy has been working for the last 4 years, as that inspire continue growth above our long-term algorithm and the fact regaining share in the majority of our categories. And so I think actually, the worst thing that we could do is look at what somebody else is doing and try to emulate that when the strategy we have is working. And I say that because we're executing well on our core business as evidenced by the share gains over the last 4 years. But we've also integrated M&A quite well and whether that's seamlessly divesting the yogurt business or aggressively growing Blue Buffalo and the pet treat business, we feel great about that. The other thing I would say is it kind of goes -- people get lost and we talked -- there are a lot of dis-synergies or splitting things up and not only financial dis-synergies, but also capability of dis-synergies. And let me get me give you a couple of examples. When we bought the Blue Buffalo business, one of the things we said was that the capabilities we have at General Mills are very similar to what is needed at Blue Buffalo. And one of those is extrusion technology, which is the technology we use in cereal. And we're 1 of the world leaders, if not the world's best at extrusion technology. The same would be true for things like thermal processing, where the same technology that's used for wet pet food is used things like soup and yogurt and other things. And so for a whole host of reasons, but ending with our strategy is working. Whatever our competitors do, their strategy may be best for them, but we really like our strategy. We like the way it's working. And at the end of the day, it's creating quite a bit of value for shareholders.
Pamela Kaufman: Great. Thanks. And also, you've discussed how you expect consumers to seek more value given the pressures that they're facing. In this environment, how are you thinking about managing price gaps versus private label and your branded competitors? It seems that your price gaps have widened pretty meaningfully versus private label in your categories. So what are your expectations around trade down? And how are you thinking about price gaps going forward?
Jeff Harmening: I'll let Jon Nudi answer the details. I would note that our pricing, it has been higher in the last few months, but at the same time, we're still growing share, which I think speaks to the strength of our brands. But Jon, you want to follow up?
Jon Nudi : Yes, absolutely. And Jeff, you touched on this before, but it's not only looking at our categories but looking at broader consumption. So it starts with the consumers eating away at restaurants or eating at home and we're seeing the shift to at-home, which is important. We've built an SRM capability over the last 5 or 6 years that we're really proud of. And it's much more sophisticated today than it was. We're able to monitor what's happening in the environment, and they take targeted actions and it might be list pricing and make promotional optimization. So we're taking the actions we believe will enable us to win in the categories that we're competing in. And we are. If you look at the past year, we've grown share in the majority of our categories, not only North America retail, but really across the enterprise, leveraging this SRM capability. We take private label very seriously, I would call it retailer brands. We believe the best course is to make sure that we build our brands and we innovate. And over time, if you look at our performance, our categories actually hold up really well versus private label. On total food and beverage private label is in 18 share and our categories is a 10. And again, we believe that's because we build our brands and we innovate and we'll continue to do that as we move forward. So we compete in North America retail in over 25 categories. We're laser focused on looking at what's happening from an inflation standpoint, how we're going to offset that from a pricing standpoint, how we're going to build our brands and how we're going to innovate. Again, we feel good about our plans for the coming of the year. We do believe that we're going to be able to compete effectively and grow share in a majority of our major categories again in fiscal '23.
Operator: Our next question comes from Chris Growe with Stifel.
Chris Growe: Just had a question for you to be clear on kind of the phasing of pricing through the year. Is it -- so you have pricing actions that have already either been announced or -- and you have carryover pricing from this past year. So is it the second quarter when pricing plus your HMM cost savings would be sufficient to offset inflation. Is that the right way to think about that in the second quarter?
Jeff Harmening: Yes. Sorry, I jumped in again. So, Chris, roughly it’s right. I think that's a fair expectation given the inflation assumption for the year and the expected phasing.
Chris Growe: Okay. And then I was curious, jumping over to the pet division. You're bringing on new co-packers. You want to have new capacity available it sounded like until fiscal '24. Do you believe you can meet demand in fiscal '23 with the addition of co-packers and perhaps some of the new capacity that's going to allow you to meet demand in fiscal '23 for that division?
Jeff Harmening : I think it's fair to say in the near term, this will continue to be a headwind. We expect modest improvement to come in the near term primarily from bottlenecking and enrollment, continued enrollment of additional external supply chain capacity. But I would expect it to be probably enough to satisfy the demand we're seeing in the business in the near term.
Operator: Our next question comes from Ken Goldman with JPMorgan.
Tom Palmer: It's Tom Palmer on for Ken. I wanted to ask on elasticity. So guidance assumes elasticity increases but remains below historic levels. I just want to make sure I understand this. Are you assuming elasticity returns to more normal levels at some point of the year? Or that some degree of below-average elasticity persists throughout the year? And why you have that view and what do you consider to be normal elasticity?
Jeff Harmening: Do you want to take that, Kofi?
Kofi Bruce : Yes. This is Kofi. So I think the fair assumption is, for the full year, our guidance is predicated on elasticities being higher than this past year, where, as a reminder, they were significantly below what our historical modeling would tell us. We are not expecting for the balance of the year a return to the full levels of elasticity that the historical models would indicate. Structurally, there are a number of reasons for this, I think Jeff referenced a lot of them around the at-home dynamics, the consumption patterns that we expect to see from consumers being a primary driver as a backdrop. And then I think it's hard to drive by the continued challenge around supply chain disruption as you think about that as a backdrop for choice and selection for consumers. And then lastly, when you think about the broader inflationary pressures and the value trade-offs that the consumers make, it's important to note that inflation is hitting away-from-home through more heavily than even at-home food. So I think all of those things are good for our assumption.
Tom Palmer: Okay. Thank you for that. And then just on shipment timing, I think a quarter ago, you talked about how some of that under-shipment in North America would likely be a fiscal '23 event, at least looking at Nielsen seems to be a bit of timing benefit in the fourth quarter. Is there more to come as we think about 2023?
Jeff Harmening : Jon, do you want to take that?
Jon Nudi : Yes, absolutely. We actually don't believe there is any benefit in the quarter. We think non-measured channels is really the difference versus what you see in Nielsen and movement versus [R&S]. So we don't believe that we either build inventory or replenish it at our customers. So as we move through the first half of fiscal '23, we expect some of the same service issues that we experienced through fiscal '22 to still be with us. So as a result, we're not baking in any real benefit from rebuilding inventories.
Operator: Our next question comes from Steve Powers with Deutsche Bank.
Stephen Powers : Just a relatively quick follow-up on pet, if I could. I think the discussion has been pretty full. But I guess the growth rate as realized in the quarter was still quite substantial despite the supply constraints. So I guess is there -- can you give us some color on what that implies about what you're seeing in all channel consumption, #1? You said you're not delivering to that demand. How you're thinking about channel inventory levels, any risks that we should be -- that you're monitoring or we should be aware of around fulfillment rates or out of stocks? I guess I'm looking at the current situation as a potential opportunity as you catch up, but I'm also just trying to level set on the interim risk.
Jeff Harmening : Yes. Well, let me frame it primary into the lens of what we saw for service. And as we look at the fourth quarter on this business, our service levels came in at the high end of 60%, low end of 70%. So I think the opportunity as we go forward is to be running probably closer to 80%. But we see strong demand across all the channels as we look forward. So this is not a demand issue. It is ultimately going to be even modest improvements in supply will allow us to unlock additional growth and the other factors be listed around retailer inventories are less a challenge and a consideration as we look ahead.
Jon Nudi: And I would say in terms of risk, I'm not sure there's risk beyond what we've already identified in our guidance. I mean the demand is clearly there, and we've accounted for the fact that in the very near term, we're not going to catch up fully to demand, but this is not beyond the way of what we know how to do. I mean this is really about debottlenecking capacity and using external sources and then building more capacity. And so as you indicated, we also have to remember, we did grow, I think, 20% in the fourth quarter. So we feel great about our pet business and we just have to make sure that we get our capacity back particularly on dry dog food, and we're in the process of doing that.
Operator: And our final question comes from David Palmer with Evercore ISI.
David Palmer : Just following up on the gross margin question so far. Gross margin in fiscal '22 was 33%, I think, and gross margin in pre-COVID fiscal '19, mid-34s. I wonder what the net impact to that gross margin has been from M&A over that time. Basically, I'm wondering how much lower gross margins were versus pre-COVID on a comparable basis and how that compares to that 200 basis points plus of supply chain friction you mentioned?
Jeff Harmening: Yes. I think I can give it to you in the perspective of the friction from other supply chain costs being the primary driver of the drag as you look from beginning of that period to through the most recent quarter. And I think I would note that some of the biggest divestitures we've made over that period also had probably some margin dilution already embedded in our P&L. So to the extent that we are -- the most recent divestiture obviously had attractive margins, but the net of all of those is probably a small for us to neutral from a margin mix perspective.
Kofi Bruce: So basically, the decline -- to put a finer point on, the decline versus pre-COVID is really all supply chain disruptions.
David Palmer : Yes, that makes sense. Any thought on the ability to reclaim that margin? Is there anything aside from the timing of pricing actions versus inflation that makes you think you can't get back to a business adjusted pre-COVID gross margin level?
Jeff Harmening : Yes. No, look, I think the main thing I would start with is a recognition that the supply chain environment stabilizing. And once that begins to stabilize, we will be able to apply our peer-leading HMM capability to get at these costs. Some of these costs will fall fully naturally with the environment and the stabilization of supply chain. Some of them will require just some focused HMM work, and all within our capacity to deliver. If you look at our historical ability to drive HMM, pre-COVID levels have been in the 4% to 5% range. So I think this is comfortably in the zone of what we can manage. What's not notable right now, obviously, is exactly when we'll see the supply chain environment stabilize. But that is the way we're managing the business.
David Palmer: And I just had 1 last one. Your media advertising, you said in the presentation, it's going to go up by more than the 5% CAGR that you've had over the COVID era. And so that would be -- I guess, would get you 20% above pre-COVID levels in media spend. This is sort of a fundamental change that you started from before -- just before pre-COVID where you're, I guess, getting bigger in digital. And I think it's worth sort of addressing how different this has been for you, how you're spending on this. But also why you feel confident that this is getting an ROI in a way that would make you different than you were in the 3 years before COVID?
Jeff Siemon: Yes. Let me clarify one point and then maybe I can shift it back to Jon or Jeff. Dave, in the presentation, we talked about the fact that we expect media to be up in fiscal '23, but there wasn't a relation to the growth rate, that was just in terms of dollars. So we've grown at a 5% compound growth rate in the last 3 years. We expect media to be up in fiscal '23, but that wasn't a rate guidance. So in terms of where we're spending or how we feel about it, I'll pass it over to Jon or Jeff.
Jon Nudi: Yes, I would just say we feel great about our media and the granularity we have and understanding the return, our ability to optimize. So north of 50% of all our media spend is digital now and amongst that digital spend more than 50% is performance marketing. And our first part of that which we've invested to acquire probably with the retailers and their data which is really powerful and becoming really targeted, building one-to-one personalized relationships. And then testing and iterating at scale. We can take 200 different ads online and optimize and really have been focused on the one that have the best return. And that's seeing significant increases in return for us. So we believe we're getting more than -- more return from our advertising than ever before. We're able to optimize, the days of shooting an ad and hoping it works for a year or over. We're literally optimizing ads on a daily basis. That's really good for our brands because it helps build them and helps you find the messages and it builds more loyalty for us as well. So we feel great about media, and we're continuing to invest heavily to make sure we have the digital capabilities in the future.
Jeff Harmening: Jeff, you can close out here.
Operator: Pardon me, it seems Mr. Harmening's line did disconnect, unfortunately. So Mr. Siemon, you're good to close the call, if you'd like.
Jeff Siemon: No worries. Thanks, Kelly. We just appreciate everyone's continued engagement and interest in General Mills. Certainly, the IR team will be available today for follow-ups, but we wish you all a good continued summer, and look forward to catching up soon. Thanks so much.
Operator: That does conclude the conference call for today. We thank you for your participation, and we ask that you please disconnect your lines.